Operator: Greetings, and welcome to the SeaChange Corporation First Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mary Conway, Investor Relations. 
Mary Conway: Thank you, Dana. Good afternoon, everyone and thank you for joining us. SeaChange released final results for the first quarter of fiscal 2020 ended April 30, 2019 today after the market closed. If you would like a copy of the release, you can access it on the IR Section of our website at investors.seachange.com. With me on today's call are Mark Bonney, Executive Chair; Peter Faubert, Chief Financial Officer; and Yossi Aloni, Chief Commercial Officer. Marek Kielczewski, our Chief Technical Officer is also available for Q&A. This call is being webcast and will be archived on the Investor Relations section of our website. Before Mark begins, I'd like to remind you that the information we're about to discuss today may include forward-looking statements, which are based on current expectations that are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. These risks are outlined in our SEC filings, including our financial report on Form 10-K which was filed on April 12, 2019. Any forward-looking statement should be considered in light of these factors.  Additionally, this presentation contains certain non-GAAP or adjusted financial measures as defined by the SEC. We have provided a reconciliation of these measures to the most directly comparable GAAP measures in the tables attached to the press release. And with that, I'd like to turn the call over to Mark, who'll provide opening remarks and introduce the rest of the team. Mark?
Mark Bonney: Thank you, Mary, and good afternoon everyone. I am pleased to join by Peter Faubert, our CFO; and Yossi Aloni, our Chief Commercial Officer today to provide an update on our progress thus far in fiscal 2020. Also here with us is Marek Kielczewski, our Chief Technology Officer.  We have been hard at work at SeaChange over the past several months. Several important and significant changes have occurred including the acquisition and full integration of Xstream, the addition of industry veteran Yossi Aloni as our Chief Commercial officer, our shareholder settlement, the addition of two new independent directors, the retirement of a longstanding director, the departure of our CEO and the adoption of a new go to market strategy and our framework solution. We recognize that our financial results in the first quarter were not good. Peter will provide more details later, but it’s important to know that our results were impacted by the cleansing of our backlog and the removal of contracts which will require to dedicate significant engineering resources to develop client-specific features that are not in line with our framework solution.  We were able to do this without significant disruption to the customers or a relationship with those customers. It’s been less than two months since we shared our fourth quarter and full year results. Along with our strategic plan to transform SeaChange and restore the company to revenue growth and positive cash flow by the end of this fiscal year.  As I mentioned, that plan includes a change to our go to market strategy that we call our framework solution where instead offering individual components of our solution to our customers, we package every component and provide an end-to-end video management and delivery system to them. There are other critical elements to this strategy and our offering that we will share in more detail with you in the future.  But today, for competitive reasons, we are sharing fewer specifics so as not to lose our first mover advantage. Yossi will describe the solution and why we have such confidence in it in a few minutes. He will also provide greater detail about the launch and initial reaction to our framework approach and tell you more about the sales and marketing progress.  I am really pleased to say that the whole sales and marketing team has been working extremely aggressively on this effort. As many on the team have done this before in other environments. We know that completely altering the go to market approach isn’t easy, nor can it be done as quickly as anyone would like. That said, we are pleased that we now have important proof points that our framework is indeed appealing to our – both our existing and new customers. We signed our first deal. Five significant deals as of today and revenue from these will begin to be recorded this quarter, our second fiscal quarter of 2020.  On the financial front, as Peter will describe in a moment, we are also very focused on continuing efforts to reduce our expenses and manage our resources carefully. This includes elements such as reducing operating expenses, most particularly those in G&A and reduce those operating expenses from the $12 million quarterly non-GAAP runrate that we had previously targeted to less than $11 million on a go forward basis.  We have taken steps to reduce third-party cost across the board and we report on this in more detail next quarter. While none of us expect this effort to be easy, we are committed to implementing a solid and thoughtful plan. We believe we have the right ingredients. It’s been our technology, a more focused and professional sales and marketing approach, a right-sized underlying cost structure and the right people.  As we told you on our last call, we plan to be totally transparent in reporting our progress versus our stated goal. To that end, we are today reaffirming the guidance metrics that we provided on April 10, 2019 with one alteration on end of year cash balance as I will discuss momentarily.  For fiscal year 2020, those metrics and our performance today are, with respect to our first goal which was to close 20 to 25 significant deals from multiple products and service offerings on an annual basis. As I mentioned, we have closed five significant deals since the beginning of fiscal 2020.  Our second goal to increase total annual revenue in the low to mid-double-digit percentage range to $70 million to $80 million despite lower year-over-year service revenues. Our progress, despite the impact on revenue, both in Q1 and in future quarters of significant cleansing of our backlog in the first quarter, we are encouraged by the growth of our framework deal pipeline and we remain confident in the full year revenue target.  Goal number three was to maintain GAAP gross margins in the low 60% range. Our progress, margins that have been produced in the initial framework deals are consistent with allowing us to achieve this goal.  Our fourth goal to complete the development of three significant new product offerings. I am pleased to say, our product development efforts are on track to achieve this goal.  Our fifth goal was to continue to reduce cost by focusing on reducing essential third-party costs and eliminating non-essential costs. Our progress has been that we have reduced third-party costs. We are ahead of plan and we will be completed with these cost reduction efforts in our third quarter.  Goal six, to deliver GAAP operating results between a loss of $0.09 per basic share to income of $0.07 per fully diluted share and non-GAAP operating income between $0.03 to $0.19 per fully diluted share. Based on our ability to achieve our revenue metrics and our gross margin metrics, we believe this goal can be met for the full year.  Finally our cash flow. To increase cash by $3 million to $6 million to $33 million to $36 million from approximately $30 million at the end of fiscal 2019. Our current outlook to cash goal is being altered to reflect the newly announced $5 million share repurchase program. The new goal is the cash balance of $28 million to $31 million at year end fiscal 2020.  With respect to the stock buyback program, we believe that the formal establishment of the buyback, even at a modest level demonstrates how serious we are about our plan to reinvigorate SeaChange operating and financial performance and we believe that over the longer term, our share price should reflect that improved performance.  In the mean time, especially in this transition year, we believe it’s important to demonstrate to shareholders that we believe our share price is undervalued and a good investment compared to our overall potential.  Finally, as expected, the financial results from the first quarter are not yet in line with our financial goals for the full fiscal year. But we remain confident that beginning in the current quarter as we start to generate revenue from framework transactions, and continue to build a strong pipeline of deals that will enable us to achieve our annual guidance.  We also continue to believe that achieving these goals will establish the foundation for a solid business model one that could result from sustainable, double-digit revenue growth and non-GAAP operating income margins of 12% to 15% in two to three years.  With that, let me turn the call over to Yossi. 
Yossi Aloni : Thanks, Mark, and hello everyone. I am pleased to provide you with an update on our progress in the fiscal 2020 period.  Earlier this year, as you know, we launched the SeaChange framework solution. This solution encompass all our standalone products, to enable us to provide the unique end-to-end solution from the back office which is used to manage the video platform business operation to media asset management, which don’t normalize and enhance video title. The dynamic editing session for linear and video-on-demand.  In addition, the framework solution enable service and content providers with an internet browser-like personalized and insertion capability, as well as the client apps for connected TVs, tablet, smartphone and other devices. All of these leverages, analytics and predictive insights through endless engagement and video production.  The framework is available as on-premises, cloud, or an IT product. The final goal is to enable our customers to increase revenue, help with viewer retention and reduce drops. Customers realize revenue increase that are enabled by SeaChange bringing the browser-like experience to the TV almost by video games with dynamic and targeted base by newer device in households.  Additionally, viewer retention is enabled within the viewing experience for both over-the-top and legacy set-top-boxes.  All of these and the operating expenses savings that the customer realizes is often greater than the cost of SeaChange unique value-based engagement, meaning that our customers base out of their savings. During Q1, we also upgraded our sales, product, marketing team along with customer engineering with experience and proven talent which is critical to support customers in key markets and regions.  The team is focused on very specific target accounts, leveraging previous relationships and building confidence in SeaChange as the premier end-to-end video management and delivery solution provider. As a result, we are now growing in confidence that our pipeline of opportunities will allow us to achieve our revenue targets for this year, as well as our longer term revenue and profit goals.  We are demonstrating initial proof points with five significant customer wins contributing more than $15 million in total committed contract value. We believe this win validate our strategy even if the outlook is yet evident in our financial results.  Contractions involving the framework platform will begin producing revenues in the current quarter and are expected to increase in the back half of the year, in line with the annual focus we provided in April.  We remain confident about our ability to achieve the annual revenue guidance we shared in April. We ensure high quality framework deployment, our highly skilled engineering leadership is working closely with our R&D and delivery teams.  We recognize that we must instill confidence in SeaChange with our customers and the investment community by demonstrating our ability to meet our targets. To that end, we are focusing on delivering growth and driving results.  With that, let me turn the call over to Peter. 
Peter Faubert: Thank you, Yossi. Good afternoon everyone. I'll start by reviewing our first quarter results. We entered the first quarter of fiscal 2020 with $9.7 million in total backlog excluding maintenance and support. We booked new business of $4.9 million during the first quarter and ended the quarter with a backlog of $11.3 million. Thus far, in the second quarter, we have closed five framework deals with a total value of more than $15 million. Given that framework engagements contribute revenue from multiple products, over multiple years, we expect that our backlog will continue to grow and our current revenue from that backlog will become more predictable.  Total revenue in the first quarter was $8.5 million, compared to $14.9 million in the first quarter of the prior fiscal year. Both product and service revenues were lower compared to the same quarter last year, primarily due to our more aggressive shift to framework engagements as the primary driver of new sales this fiscal year.  As Yossi stated, these framework engagements will begin to contribute revenue starting in the second quarter of this fiscal year and will continue throughout the second half.  As discussed previously, revenue in the first quarter of this year was solely related to working through backlog related to legacy engagements and there was no revenue recognized from framework engagements during the first quarter.  Total product revenue was $1.2 million in the first quarter or 14% of total revenue compared to $3.1 million in the year ago quarter or 24% of total revenue.  Product revenue was driven primarily by our OVP platform and advertising license and hardware revenue with one customer upgrade during the quarter.  Total services revenue for the first quarter was $7.3 million or 86% of total revenue, compared to $11.8 million or 76% of total revenue in the first quarter of last fiscal year. As we transition more aggressively in the framework engagements, with existing customers, we expect an acceleration in the decline of maintenance and support revenue from those customers related to the legacy products. We expect a lower rate of renewals of maintenance and support agreements with those customers. To those agreements will be replaced by framework arrangements going forward. In addition, our professional services function will transition to a newly created customer engineering organization, which will directly support our customers as part of the framework. Of the total services revenue in the quarter, maintenance and support was $5.2 million and professional services was $1.9 million compared to $7.2 million and $4.4 million in the prior year quarter respectively. Revenue from international customers of $5.1 million in the first quarter this year represents 60% of total revenue compared to $9.1 million or 61% of total revenue in the prior year quarter.  One customer comprised more than 10% of total revenue in the first quarter of this fiscal year, whereas in the same quarter of last year, two customers, each comprised of more than 10%.  In the first quarter of fiscal 2020, non-GAAP gross profit margin was 34% compared to 61% in the prior year quarter, driven primarily by Amazon Web Services cost related to the OVP platform and third-party hardware costs this year versus primarily software license sales in the prior year quarter. Non-GAAP service gross margin in the first quarter was 36% compared to 53% in the prior year quarter, primarily resulting from the decline in overall service revenue. We expect to complete legacy professional service engagements and ramp our customer engineering organization in the first half of this fiscal year.  As we make this transition to customer engineering, we expect to reduce fixed cost in both professional service and support functions, thus normalizing services gross margins in the future.  Non-GAAP operating expenses in the first quarter of fiscal 2020 were $1.04 million, compared to $12.9 million in the same quarter of the prior year, well under the targeted $12 million quarterly level to which we have been managing.  The decline reflects the cost reduction initiatives that we announced last September, including reduction of headcount across all functions worldwide and other expense savings related to decommissioning certain internal software tools. During fiscal 2020, we will continue to control cost by focusing on reducing third-party costs and eliminating non-essential internal costs throughout the organization.  For the quarter, we posted a net loss of $0.30 per basic share which translates to a non-GAAP operating loss of $0.20 per basic share. This compares to a net loss of $0.15 per basic share in the first quarter of fiscal 2019 and a non-GAAP operating loss of $0.11 per basic share.  Turning to our balance sheet, we ended the first quarter of fiscal 2020 with cash and cash equivalents of approximately $24.3 million and no debt compared to approximately $30.7 million at the end of fiscal 2019.  You will recall that we used approximately $4.6 million in cash as well as 541,000 shares of common stock for the acquisition of Xstream in early February 2019. The remainder of the cash decrease in the first quarter reflects funds used for operations during the quarter and cash payments related to cost savings initiatives as well as working capital fluctuations during the quarter.  Deferred revenue of $9.9 million decreased from $10.8 million as of January 31, 2019 and $11.3 million in last year’s first quarter driven primarily by the timing of revenue recognized and the renewal of post-maintenance and support agreements during the quarter.  Days sales outstanding, excluding unbilled receivables, was 106 days at the end of the first quarter of this fiscal year, compared to 73 days in the first quarter of last fiscal year. Including unbilled receivables, days sales outstanding totaled 170 days in the first quarter of this year, compared to 104 days in the first quarter of last fiscal year.  Our unbilled receivables were $6 million in the first quarter of this fiscal year compared to $6.3 million in the first quarter of last fiscal year. The decrease is the result of timing of invoicing milestones on legacy professional service projects.  As Yossi stated, this year we are laser-focused on opportunities to sell multiple products and support – multiple support services under multi-year arrangements with both existing and new customers. We are pleased with our initial success with this approach and anticipate it will contribute significantly to revenue this fiscal year beginning in the second quarter, and through the second half.  These arrangements demonstrate the commitment and reputation that SeaChange has delivering best-of-breed products, now packaged in a end-to-end video delivery capability with modernization through dynamic ad insertion.  The positive response to framework from new and existing customers continues to provide us confidence that we will return to revenue growth in fiscal 2020. More importantly, the multi-year element of these transactions will allow us to grow our backlog and increased predictability of revenue.  As we stated last quarter, we continue to believe that based upon lower revenue expectations for the first part of fiscal 2020 related to our transition to multi-year revenue arrangements with customers we will reach operating profitability and positive cash flow in the second half of this fiscal year.  And with that, I will hand the call back over to Mark. 
Mark Bonney : Thanks, Peter. One final point before we open the call for questions. Changes of the magnitude that we are implementing are not easy on the team. I am very pleased that there is clear evidence that our employees are responding well and are embracing a new level of engagement and accountability enhancing our ability to significantly improve the company’s operations and achieve our fiscal 2020 goals.  With that, Dana, we are now ready for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Steven Frankel with Dougherty & Company. Please proceed with your question. 
Steven Frankel : Good afternoon. I’ve got lots of questions. But let’s start with this notion of purging the backlog. I’d like to know exactly what you did, because I don’t see the backlog going down or the deferred revenue going down. So, how does that impact the revenue that we saw in Q1 and the go-forward runrate in revenue?
Peter Faubert: Steve, this is Peter. So, in terms of deferred revenue, we do have some projects that were sold last fiscal year that we’re working through with customers and part of working through those legacy projects is essentially creating and trying to customize the solution for those customers. As we work through the scope of those arrangements and what was to be delivered under those arrangements, we are deferring revenue until we are able to meet some of those milestones.  So, we are committing some significant resources to working through those legacy arrangements that are largely customized development arrangements and frankly, not what we want to be doing going forward under the framework arrangements. 
Steven Frankel : As so, how much revenue – what have hit in Q1, but because of this rescoping, it didn’t hit in Q1.
Peter Faubert: I think a lot of the decline in revenue that we are seeing is coming from non-renewal of maintenance and support agreements as we enter into framework agreements with existing customers. So, a majority of the deals that we announced were deals with existing customers this quarter and in lieu of signing those framework arrangements, obviously they are not going to renew the maintenance support agreements on the legacy platforms. 
Steven Frankel : So, that leads to the question of where does maintenance bottom? It’s already down significantly sequentially. What does it look like in the next couple of quarters? Is it – does it go closer to $4 million or below that?
Peter Faubert: Yes, I think you are going to see some pretty significant declines in maintenance and support agreements just given the fact that we are trying to move off of those legacy platforms. 
Mark Bonney: And Yossi, you have some thoughts on Steve’s questions. 
Yossi Aloni: Yes, it’s Yossi. With some of the customers that we have committed to provide to the custom solutions in the future, what we are doing these days and it’s very likely that we will be successful with some of them is to convert them into a framework engagement where we are going to provide them a cookie-cutter solution.  So they will get more functionality and we are going to save the customization that they may or may not need. So that's a win-win situation. 
Steven Frankel : Okay. So, let me just go back one more time, because, Peter, I understand that maintenance went down, but your product revenue went from $3 million last year to $1 million in change this year a big piece of which was OVP. So, I guess, what would be fair to say, there was also an air pocket in current business. This is not just the purging of backlog that caused the poor results in Q1. The backlog really didn’t impact any of the revenue production in Q1. There were other issues. 
Peter Faubert: Yes, so, product revenue for this quarter, you are absolutely correct. We are not selling individual components anymore. So, really the only product revenue outside of OVP for the quarter was an upgrade of a customer's spot advertising solution. But we are not aggressively marketing individual components, because we have shifted to the providing the framework solution to all the customers that we are pitching going forward. 
Steven Frankel : Okay.
Peter Faubert: Now that’s not to say if a customer comes to us and says they want to upgrade a legacy platform we wouldn’t do it. But our sales team is not out there trying to sell those upgrades anymore. 
Steven Frankel : I am trying to square where you are today with what’s like aggressive guidance of $70 million to $80 million. So, the $15 million worth of framework deals that you’ve gotten in early Q2, how much of that $15 million in revenue gets recognized in the current fiscal year, if you are all contract?
Peter Faubert: Yes, under the current revenue recognition guidance, we will recognize revenue related to software licenses when we shift the licenses. So, if you think about what’s historically has been our mix of products license versus service revenue, we have generally said it’s been 60% licenses or product revenue and 40% services which will be taken over time.  So, as we are shipping the four individual licenses for the products under the framework solution, we would recognize the revenue upon shipments of the license portion of those deals based on the standalone selling price for those licenses. 
Steven Frankel : Doesn’t that make the climb between $8 million in change and the 20 plus million of change you need to do each quarter to get to $70 million pretty aggressive ramp from here?
Peter Faubert: Well, you have to think about the fact that we’ve just launched the framework and we’ve got five significant deals producing $15 million in total contract value. Literally, just…
Steven Frankel : And it’s not that 6% of that $15 million gets organized. I guess, recognized here. 
Peter Faubert: That’s correct. That’s much we’ll get in revenue this year. You are right. But my point is that we’ve got a significant – we’ve made significant progress with five already in the books against 20 to 25 that we are going to get for the year and many of those are very substantial in future revenue.  So, we don’t – we see your issue – you are from Missouri and you need to see it. I get that. But we know what’s in the pipeline and we are very much convinced that we can get there, particularly based on the activities that we have had in – since the beginning of the first quarter. 
Steven Frankel : Okay. And then, at least 20 to 25 deals, kind of how do you expect those to split between existing customers and Greenfield opportunities in new areas where you weren’t traditionally playing.
Yossi Aloni: If you don’t mind I am going to be – I am not going to share with you the exact numbers even though we are – let me take a step back. At this stage, we already know how to achieve the number, the target for this year. So, the target come up. We know where we stand and we know where we are ahead in terms of closing the engagement with each one of this target.  Many of these targets are new customers, many, many of them is not just to be SeaChange customers in the past. This is not to say that they are Greenfield, meaning these are existing content providers or service providers. Now, going back to Mark’s comments, please keep in mind we are in early June. I joined the company in January.  Mark and his team our CTO, started the modification and packaging of the product early this year. We onboarded a team in Q1. We launched the solution at NAB. NAB was less than 60 days of it recall. Since NAB, till today, within less than 60 days, getting completed signed and in the books five deals is not that bad.  Now obviously, if we have five in the books, probably we have a few more that are getting ready to be completed and that’s the reason for the confidence. 
Steven Frankel : Okay. All right. I get it and the stock buyback seems little bit more symbolic than something or you can take down and make a meaningful impact on the overall situation. But it does show your confidence, I’ll give you credit for that. Thank you. Appreciate it.  And a last one, just the time to revenue on these pipeline – on the framework deals. These are pure license revenues. So you sign the paper and you can shift the licenses or what else needs to get done. 
Mark Bonney: Yes, so, the implementation of the framework arrangements given that there are pre-integrated and they are all SeaChange products. We are targeting a 90-day kind of distribute our implementation of those products and it should be repeatable. At some point early in that 90-day implementation period, software licenses will shift. 
Steven Frankel : Okay. And then, and who – Yossi, who are you competing with on these deals today?
Yossi Aloni: The usual suspects that play in our domain, I think that in terms of competitive landscape, it’s much easier these days. We have covered that in the Needham Conference. I’ll be delighted to set up a one-on-one and review that with you because that’s probably a longer discussion. 
Steven Frankel : All right. That’s fine. Let’s do that. I’ll pass the baton to somebody else. Let somebody ask questions. 
Mark Bonney: Thanks, Steve. Appreciated.
Yossi Aloni: Thanks, Steve. 
Operator: Our next question comes from the line of Jaeson Schmidt with Lake Street Capital Markets. Please proceed with your question. 
Jaeson Schmidt : Hey guys. Thanks for taking my questions. Peter, sorry if I missed it, but did you quantify the impact from the kind of backlog purge and how – what the revenue headwind that was for April?
Peter Faubert: I did so - I didn’t really quantify what the impact was. I did say it was focused – there is a couple components to working through the backlog. The first component is delivering customized solutions that were contracted last year as part of offerings to some of the customers that we just needed to work through.  And in some cases there, there is value in the backlog that we need to solve some problems to tap into and we are working through that. So in some cases, we can’t recognize the revenue and we can’t really invoice and we are working through that professional service backlog. The second component to the legacy revenue was the maintenance and support renewals with existing customers.  And in some of those cases, when we are selling framework arrangements to existing maintenance and support customers, we would rather sell them a framework arrangement than renew their legacy maintenance and support agreements. And so, those are the two real headwinds that we are facing from a legacy product standpoint.  The third piece that I talked about was the fact that, with the new sales team and the new go to market strategy, we are not out there actively selling legacy products on a one-off basis. So you're also going to see less products revenue unless a customer comes to us and explicitly ask for upgrade of their platform. 
Jaeson Schmidt : Okay.
Mark Bonney: Jaeson, one other point there, on the first portion of what Peter was talking about. We haven’t in many cases, we haven’t actually taken those amounts out of the backlog. They are sitting in backlog. We are not taking revenue on them now and we don’t necessarily know when we will be able to.  In fact, in some cases, we are trying to move the customer away from that required development and into a framework deal, which benefits both of us quite frankly, which means that we will never get that revenue, but we will get framework revenue as and when it comes.  So, I hope that helps you. 
Jaeson Schmidt : Now, that makes sense. And then just following up on the previous questions and I know you have the five deals range over $15 million in revenue, but I mean, after six years of annual revenue declines and starting Q1 of this year, in a pretty sizable haul.  How do we get comfortable that you can achieve 20% top-line growth of all of a sudden at the midpoint of your guidance? Can you just talk about how the engagement pipeline has grown or if you could quantify what is in that engagement pipeline deal size? Any additional color would be helpful.
Yossi Aloni: So, this is Yossi, Jaeson. First the confidence. The go-to-market team that we have today at SeaChange it’s a go-to-market team that have done it in the past.  And if you are looking at many of the guys we have today, whether it’s in North America, Latin America or Europe, they have done it. In this domain, with these customers with complemented solutions – not competing, complementary solutions. And they have delivered growth for many years over 20%. So that’s part of the confidence.  Second reason for the confidence is the feedback that we are receiving from customers. So, right now, our validated pipeline, meaning pipeline where not only there is an opportunity, we are also considered as one of the key solution providers, is probably well over 140. And again, do keep in mind – please keep in mind, we launched the solution and the team onboarding was completed around NAB timeframe.  So that’s the next reason for the confidence in the solution. And obviously, and this will be bit harder for you to judge is the feedback that we are receiving from the market. We have a great product. The feedbacks went from customers when we see our products. They wanted to be demonstrated in Needham, is just outstanding.  And when you have a great product, and there is a demand, and there is a simplified competitive landscape, usually you are confident, you can do it.
Jaeson Schmidt : Okay, okay. And I know you are shoring up some cost on the third-party cost side. Do you plan to add to headcount at the build out kind of the sales strategy going forward? Or well headcount remains relatively flat going forward?
Peter Faubert: So, I think we will see some cost savings in some areas and that all come from headcount reductions in some cases. We are also building out the customer engineering organization. So we are hiring to support the framework go-to-market strategy for sure. So, the transition from a headcount perspective will continue. But we haven’t really put a headcount restructuring plan in place per se. 
Yossi Aloni: It could be more or less flat, it’s fair to say, yes. 
Jaeson Schmidt : Okay and …
Mark Bonney: Yes. The other important point here is that the sales organization is built. The customer support organization or the customer engineering group needs to be built out a little bit further. But the sales team is here.  And Yossi was modest when he said, that the team has done this previously. It’s important to note that the team has done this previously with Yossi leading the team. So, that's an important point for you to understand as well. 
Jaeson Schmidt : Okay. And then, finally, when we think about fiscal 2020, what sort of split between product and service are you guys ultimately targeting? 
Mark Bonney: Yes, so, like I said before, and obviously, we are going to revisit this as we continue to sell the framework engagements and really understand what the standalone selling prices look like, but what we have modeled is 60% product, 40% services which is pretty consistent with how our multi-element arrangements had been structured historically.  So, even though the go-to-market strategy is different, the economics around what we are selling because there is still lot of products in our services should be in the kind of 60-40 split. 
Jaeson Schmidt : Okay. Thanks a lot. 
Mark Bonney: Thanks, Jaeson.
Peter Faubert: Thanks, Jaeson.
Operator: Ladies and gentlemen, we have reached the end of the question and answer session and I would like to turn the call back to Mark Bonney for closing remarks. 
Mark Bonney: Thank you, Dana. Thank you all for your attendance today. We look forward to updating you on our progress against our full year goals at the end of the next – this current quarter when we hold and when we hold our Q2 2020 call. Please feel free to reach out with any questions. Until then, thank you for your continued interest in SeaChange.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.